Operator: Good day, everyone, and welcome to the News Corp. First Quarter Fiscal Year 2015 Earnings Conference. As a reminder today’s presentation is being recorded. Members of the media are invited on a listen-only basis. At this time, I would like to turn the conference over to Mike Florin, Senior Vice President and Head of Investor Relations. Please go ahead, sir.
Michael Florin: Thank you very much, operator. Hello, everyone, and welcome to News Corp.’s fiscal first quarter 2015 earnings call. We issued our earnings press release about an hour ago, and it’s now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive; and Bedi Singh, Chief Financial Officer. We’ll open with some prepared remarks, and then we’ll be happy to take some questions from the investment community. This call may include certain forward-looking information with respect to News Corp.’s business and strategy. Actual results could differ materially from what is said. News Corp.’s Form 10-Q for the three months ended September 30, 2014 identifies risks and uncertainties that could cause actual results to differ, and these statements are qualified by the cautionary statements contained in such filings. Additionally, this call may include certain non-GAAP financial measurements, the definition of and reconciliation of such measures can be found in our earnings release and our 10-Q filing. Finally, please note that certain financial measures used on this call, such as segment EBITDA, adjusted segment EBITDA and adjusted EPS are expressed on a non-GAAP basis. The GAAP to non-GAAP reconciliation of these non-GAAP measures is included in our earnings release. With that, I’ll pass it over to Robert Thomson for some opening comments.
Robert Thomson: Thank you, Mike. As the results you’re seeing today reflect we are off to a resounding start in our second fiscal year as the new News Corp. Our revenues, Segment EBITDA, free cash flow and earnings per share were all up from the prior year. Our broader goal of globalization and digitization is proceeding at pace with passion and purpose, as is the ongoing transition of our newspapers in the U.S., UK, and Australia. Meanwhile, we are deepening our diverse portfolio with strategic acquisitions with significance. First, we closed the acquisition of Harlequin on August 1. The integration since the closing has been rapid and efficacious. We’re expanding HarperCollins’ reach and that of our authors across Europe, Latin America and Asia. We are finally focused on driving cost savings with the goal to improve efficiency, while delivering higher quality content across multiple platforms and markets. And we are taking steps to leverage and monetize the extensive Harlequin backed catalog. Second, we announced along with REA Group in Australia plans to acquire Move, home of Realtor.com, expanding our real estate footprint in the large but still nascent U.S. digital property marketplace. This is a transforming acquisition of the new News. One that we expect will have significant benefits for years to come and that clearly complements our existing platforms. I will expand on this theme later on my prologue. Meanwhile, we continue to enhance and refresh our digital offerings across the globe, including the launch of the new Wall Street Journal app, the development of Sun+ in the UK and the refreshing of our metro mastheads in Australia. There is increased collaboration across divisions, resulting in a more coherent digital strategy, more creative products and more compelling offerings for our customers. Looking now at the first quarter of fiscal year 2015, some general observations, the advertising headwinds in Australia have dissipated. The results for our businesses there showed real and hard won improvement in revenues and in EBITDA, the green shoots appear to have taken root. But we will continue to invest in our sales teams and cherish our unique content. HarperCollins and REA again showed considerable strength, contributing much to both our top and bottom line, providing even more evidence that we can build a profitable future on these core pillars. We are seeing sequential improvements at the Dow Jones professional information business, and are confident that we are on the right track. Advertising at The Wall Street Journal has been robust in recent weeks, with October showing solid gains versus the prior year, driven largely by print advertising. Long term trends remain difficult to predict but we are happy with the contemporary trend. We will, however, never allow ourselves the sin of complacency. News America Marketing continues to show strength in the in-store category, highlighting the importance of point-of-purchase, which we believe has only become more valuable in a fragmenting media world. Free-standing inserts have been softer in recent weeks and will be a focus of particular attention in coming months. And Amplify has shown some gains, as the business has started moving from the development stage to the all-important sales stage. The coming school season will be crucial for the company as the sales cycle intensifies. In general, progress is solid because we’ve had a cogent and consistent plan for News Corp. We are purposefully executing on that strategy and continue to be diligent in confronting costs. Integral to that digital and global strategy has been the diversity and complementarity of our portfolio, which was distinctive from day one and has since been enhanced. This powerful portfolio has provided the opportunity for growth even with the ad-market somewhat uncertain and visibility obscured. We have clearly come far over the past 15 months. The acquisitions of Storyful, Harlequin and we expect eminently Move; the retooling of Dow Jones professional information business; the launch of the new curriculum at Amplify; the growth of REA in Australia and its expanding reach in Asia. However, these initiatives have not blurred our focus on driving improved operating efficiencies around the company and the world. We believe we are uniquely positioned for growth, particularly as technology advances our platform capabilities and stimulates the appetite for and access to the kind of premium compelling content we create and distribute. As for the quarter, the positive results underscore while we are humbly confident in executing our long term plan. Today’s numbers show the power of our provenance and our prospects. While newspapers are part of the foundation of the company and always will be, we are not just a newspaper publisher. We are a content-and-technology company with unique but complementary assets, and a balanced revenue mix. Some high level numbers on which Bedi will elaborate eloquently. For the quarter our reported revenues grew 4% to $2.2 billion, a notable improvement since last quarter. And reported total segment EBITDA grew by 21%, importantly our adjusted EBITDA grew 18% and free cash flow available to News Corp. grew by $83 million. Among the highlights of the first quarter was book publishing. HarperCollins’ adjusted segment EBITDA which excludes Harlequin and certain other items grew over 20% this quarter. As the Divergent series continue to pay dividends and show the undoubted virtue of our blockbuster book. Meanwhile, we have never been more excited about digital real estate and REA’s success this quarter helps to explain why. Revenue growth was 24% and segment EBITDA increased 30%. The company’s vast trove of expertise will be critical to the future growth of realtor.com in the U.S. and our other online properties. While we have been candid about the challenges facing our newspapers we are seeing more encouraging trends in advertising and circulation revenue. We remain conscious that the sector is in transition but believe that we have the scale and the skills to succeed. To focus on a few brands, The Times in the UK is delivering both volume and higher revenue per subscriber. Digital which already accounts for nearly one-third of paid sales has been growing at a double-digit rate. At the Sun we launched our tablet app integrated with sports clips and marketed with the Dream Team Fantasy League. And while it’s still early, we are pleased with the progress and the number of Sun+ members has increased remarkedly. We are still monitoring churn and will have formal metrics for you later this month. At The Wall Street Journal we are now seeing momentum restored. As I mentioned, we’ve launched a new iPad app and added a subscriber membership program through WSJ+, inspired by our success in London with The Times. Our team at the journal under Will Lewis is working hard to grow subscriptions with simplified pricing, new products and enhancements and international expansion. We just launched digitally Barrons Asia and expanded the burgeoning WSJ magazine to Latin America. At News Australia, we’ve launched our next generation tablet apps for the metro mastheads and are advertisers a seamless cross-platform product. We will as one must continue to iterate and improve the offerings. We are capitalizing on the strength of The Australian by publishing a new business section to attract advertisers and readers, and leveraging some content from The Wall Street Journal, in another example of cross-border cross-fertilization. Turning to Digital Education, we had a solid quarter, led by our early grade hybrid product offerings. Feedback from the launch of our Digital ELA curriculum and math offerings has been positive. And we believe they position Amplify strongly for the upcoming sales cycle. Before I conclude and turn things over to Bedi for more statistical specifics, let me return briefly to the subject of Move. We are even more excited about its potential then when we announced plans to the acquisition in September. It is increasingly clear that the U.S. online real estate market is fragmented and at a rather really stage of its evolution compared to markets elsewhere in the world. Move has the freshest, most accurate listings and a strong relationship with realtors. These assets will soon be complemented by the powerful media platforms at the heart of News Corp., including The Wall Street Journal and News America Marketing. We will have compelling content and unique brand-building potency and technological savvy. All of which are crucial ingredients in the sprint to success. And we’ll have the great advantage of involvement by REA, our majority owned Australian online property company, whose own success is legend and which will be able to share valuable learning and lessons with Move. An estimated $14 billion will be spent on the marketing of properties this year by real estate agents and brokers in the United States. And that figure does not include rentals on mortgage financing. We expect the recent relaxation of mortgage lending restrictions will also help stimulate the housing market, which has yet to recover full health after the financial crisis. The combination of the shift to Digital Marketing and the broader economic trends are certainly auspicious. Realtor.com will allow us to gather important data of value to our other properties. When a purchaser indentifies an interest in a home in Tribeca or Tous [ph] they are potential Wall Street Journal subscribers. We will be able to repurpose that permission data for our other partners and clients. We anticipate that it will be a rich source of monetizable intelligence about a desirable demographic, while there is much hard work ahead we believe the rewards of Realtor.com will be real for all of our shareholders. We remain committed to a balanced long-term approach to capital allocation among organic investment, strategic M&A, and the return of capital. As evidenced by the Move deal, our strategy is to pursue new opportunities where we can use our global platform and scale, opportunities which inherently complement and extend our expertise. Now, let me turn it over to Bedi, who’ll provide background detail on the positive results we’re announcing today.
Bedi Ajay Singh: Thanks Robert. First, I would like to share with you some high level financial highlights, and then we will discuss each segment in further detail. We reported fiscal 2015 first quarter total revenue of $2.2 billion, a 4% increase versus a prior year period revenues of $2.1 billion. Excluding the impact of acquisitions, divestitures and foreign currency fluctuations, adjusted revenues were up 1% compared to the prior year. Turning to EBITDA, we reported total Segment EBITDA of $170 million, which was a 21% increase versus the prior year period. Results this quarter include $14 million of costs related to the UK Newspaper Matters, net of indemnification. Excluding that cost and the impact of acquisitions, divestitures and foreign currency fluctuations, our adjusted total Segment EBITDA grew by 18% versus the prior year. Reported EPS were $0.11 versus $0.05, excluding restructuring and impairment charges, UK Newspaper Matters costs and other one-time items, adjusted EPS were $0.09 versus $0.03 in the prior year. Free cash flow available to News Corporation improved by $83 million from negative $10 million in the prior year to positive $73 million in the first quarter. As Robert noted, the results demonstrate both the breadth of our portfolio and our diversification, across geographies, lines of business and revenue mix. We significantly grew our EBITDA and our free cash flow amid a still challenging ad-market albeit we saw lower declines in Australian and at The Wall Street Journal compared to the fourth quarter of fiscal 2014. The results today are the product of prudent reinvestment, improved market share and ongoing operating efficiencies.
 : We are also strengthening two of our core pillars, Digital Real Estate and Book Publishing. Those of which contributed significantly to our strong top and bottom line results this quarter. We believe adding Move to our platform will be another leg to growth, and another significant step towards further digitalization of News. We anticipate the Move deal to close in the current quarter and we’ll have more to talk on this next quarter. We’re also very pleased with the integration of Harlequin, as we focus both on cost savings and leveraging the foreign language footprint. We also remained very focused on free cash flow and despite the impact on capital spending related to the companies London Relocation, as well as continued investment spending and Amplify. We still significantly improved our free cash flow versus the prior year period. Our goal remains to reshape the growth profile of News Corp. through prudent investment and cost discipline, and we think that the results today are a testament to that. With that as a brief overview, let’s look at the first quarter performance for each of the key segments. In News and Information Services revenues for the quarter declined $44 million, or 3% versus the prior year period. Adjusted segment revenues also declined 3%. Within these segment revenues, advertising declined around 7% this quarter, a consecutive improvement from the 9% decline in the fourth quarter of fiscal 2014. Looking at advertising across our key publishing units, at News Corp. Australia, ad revenues declined around 5% or 6% in local currency for the quarter and showed particular strength in September. This is a consecutive improvement compared to a decline of 16% or 11% in local currency in the fourth quarter of 2014. We saw strong improvements in the national real estate and auto categories. At News UK, advertising revenues declined around 6% or 13% in local currency, relatively consistent with fourth quarter of fiscal 2014 impacted by weakness in retail, telecom and finance. News UK advertising continued to remain challenged through October as a result of general market softness. And at The Wall Street Journal, advertising declined high-single digits this quarter, impacted by tougher year-ago comparisons, but we saw an improvement from fourth quarter of fiscal 2014, and gained momentum through the quarter led by our digital offerings. Whilst it is early and booking cycles remained short, The Wall Street Journal has shown strong improvement in October driven by two categories, finance and technology. At News America Marketing, in-store advertising improved 10% but this was offset by declines in free-standing inserts, which had been under pressure in the quarter and continued into October. Total circulation and subscription revenues for the quarter declined 1%, driven primarily by continued softness in professional information business at Dow Jones, which had a negative $13 million impact to revenues this quarter. However again, this was an improvement versus the fourth quarter of fiscal 2014, as we continued to make progress to stabilize and retain existing Factiva customers. Total newspaper circulation revenues showed modest growth, mostly driven by subscription and cover price increases across a number of our mastheads to offset print volume declines, although as Robert mentioned we did see print volume growth at The Times in the UK. We continued to evaluate our pricing across all our mastheads with an eye on both competition and most importantly consumer value. And to that point and it’s worth highlighting that we have recently restructured the subscription pricing for The Wall Street Journal in early October for new customers, which raises the price to the print digital bundle to $32.99, and for digital only to $28.99, representing a $4 per month increase for both offerings. We've also eliminated the historical discount with digital versus print, taking a page from the success of the times in the UK as Robert noted. Segment EBITDA decreased $28 million in the quarter, or 21% as compared to the prior-year period, and Adjusted Segment EBITDA was down 19%. Included in segment EBITDA was $14 million related to the relocation of our London operations with dual rent another facility costs, which accounted for half of the year-over-year percentage decline. Our second fiscal quarter should be the last quarter of the dual rent P&L impact. Turning to the Book Publishing segment, revenues improved 24% and Segment EBITDA grew 28% versus the prior year quarter. Reported EBITDA this quarter includes approximately $5 million of Harlequin-related transaction fees. Excluding the results from the Harlequin acquisition, which closed on August 1, and the related transaction fees, the impact from the divestiture of the live events business last year, and foreign currency fluctuations, Adjusted Revenues grew by 6% and Adjusted Segment EBITDA by 23%. Total e-book net sales for the quarter grew 28%, and accounted for 22% of consumer revenues. Excluding Harlequin, e-book revenue growth was 8%. The Divergent series continues to sell very well this quarter, totaling over $3.5 million net units, modestly above last quarter, and includes the impact from a new title for a Divergent Collection. We also have solid contributions in general books, and Steve Harvey’s Act Like a Success, and Daniel Silva’s The Heist, and carryover demand in Christian publishing from Sarah Young’s Jesus Calling. This week we announced plans to close our HarperCollins Canada warehouse and consolidated distribution in North America. This is part of our long-term strategy to streamline distribution operations, which will lead to significant cost savings. While it’s early in the integration with Harlequin, we've been very pleased with the progress to-date. We are actively looking for cost saving opportunities in a number of overlapping territories. At this point we would expect aggregate cost savings to approximate those at Thomas Nelson, which was over $20 million. Although, it will take some time as we exit contractual commitments and renegotiate manufacturing terms to realize the (inaudible). We are also beginning to tap into the Harlequin network with the recently announced expansion of our public (inaudible) program in Germany, with additional markets planned in the future, and we also announced a foreign language deal with top author Daniel Silva other than the pipeline. Finally, we announced a subscription offering for Harlequin with Scribd for backlist titles as we look to further monetize its valuable catalog and leverage HarperCollins existing digital distribution relationships. As I mentioned last quarter, core HarperCollins does face tough comps this year due to the success of the Divergent series last year. The majority of the Divergent units having been sold in fiscal second quarter and third quarter of the prior year. In Cable Network Programming, revenues improved $7 million, or 5% compared to the prior year. Subscription revenues grew 9% benefiting primarily from higher affiliate fees from Foxtel and increased subscribers. Advertising revenues declined modestly impacted by a soft marketplace and a tough prior year comparison related to election spending and the absence of two major events a bit later this year, namely the Lions Rugby Tour and the Ashes Cricket Series. Segment EBITDA in the quarter was up 10% compared to the prior year. Excluding the impact of foreign currency fluctuations, Adjusted Revenues increased 4% and Adjusted Segment EBITDA improved by 10%. In Digital Real Estate Services, revenues increased $22 million, or 24% compared to the same quarter last year, reflecting higher pricing and uptake of premium products. Segment EBITDA increased $13 million, or 30% this quarter compared to the prior year, primarily due to the increased revenue. Reported results also include roughly $2 million in fees incurred at the end of September for the proposed acquisition of Move. Excluding adverse foreign currency impact and the Move transaction costs, Adjusted Revenue and Adjusted Segment EBITDA grew 23% and 32% respectively. At Digital Education, revenues increased $15 million compared to the prior year, or 56%, driven by the adoption of our K-5 print, digital hybrid learning products and from higher tablet sales. Segment EBITDA improved $27 million to a loss of $24 million, about $15 million of that was due to the capitalization of software development costs related to our digital ELA product and the balance from improved top line. In our others segment, excluding the UK Newspaper Matter costs, Adjusted Segment EBITDA was relatively flat at negative $41 million compared to negative $40 million in the prior year. With respect to earnings from affiliates, Foxtel ended the quarter with around 2.6 million total subscribers, up 5% versus the prior year driven by higher digital platform subscribers. Cable and satellite churn improved to 10.9% compared to 12.1% in the prior year. Foxtel revenues for the quarter grew 1% due to the impact of foreign currency fluctuations and growth in subscriber revenues. And EBITDA increased around 2% versus the prior year quarter due to the subscriber revenue growth offset by increased operating expenses resulting from the impact of foreign currency fluctuations. Foxtel launched its new revamped pricing and packaging on Monday November 3, with an expectation of improvement in cable and satellite subscriber penetration over the course of the year. We'll provide an update on progress in next quarter. Turning now to cash flow, News Corp's cash flow from operations improved to $183 million, compared to $59 million in the prior year, and free cash flow available to News Corp. improved to $73 million, compared to negative $10 million in the prior year. We continue to expect full-year CapEx to be relatively similar to the prior year at approximately $400 million. This includes around $70 million to complete the London relocation and $60 million related to capitalized software Amplify. Our corporate overhead and strategy group costs are expected to be at a similar level with that in fiscal 2014. And at Digital Education, we continue to expect our total cash investment spend to be relatively similar in fiscal 2015 at over $200 million, including approximately $60 million of capitalized content development costs. EBITDA for fiscal 2015 though is expected to improve by, at least, the amount capitalized. So just to summarize, we believe this quarter demonstrates that News Corp. is on the right track and we are confident the steps we've taken both investments and cost discipline are positioning the company for long-term growth and equally important higher value per share. With that, let me hand it over to the operator for Q&A.
Operator: Thank you. (Operator Instructions) And our first question comes from John Janedis with Jefferies.
John Janedis – Jefferies LLC: Thank you. Robert, can you give us more color on what you are seeing in print advertising at the journal, with some of the weakness in national advertising in TV and cable, it’s a bit of a surprise. And so I guess, was the tech money broad, that it’d support a particular launch, does it have legs in Australia how are current print trends looking there? Thanks.
Robert Thomson: John, look, obviously we are not pretending to be soothsayers, so we are not giving you long-term forecasts. But what we did see in particular at the journal and both in print, but particularly in print, but also in digital was their recovery in finance and tech advertising, and that is encouraging. And it’s so far so good this quarter and we are talking in terms of year-on-year guidance. In Australia, the team under Julian Clarke, have done a sterling job in retooling the business. And I think partly there the improvement in trading conditions is today in large part together focused again on the local advertising. The team is dedicated in its pursuit of clients and its servicing of clients, and so that has absolutely contributed to the improvement we are seeing there. And in essence, what you’ve got in Australia now if you wanted to typify it topographically with topographically is that, the Mary River had silted up, and that river is now flowing again.
Michael Florin: Okay. Operator, we'll take our next question please.
Operator: Thank you. We'll go to Tim Nollen with Macquarie.
Tim Nollen – Macquarie Capital: Yes, I want to ask about your Amplify division, you mentioned that you are heading into an active selling season. We are a good couple of months into the fall semester with a lot of common core sales for schools now underway. Just wondered, if you could comment on what you have done, and what you think the timeframe is of upcoming Amplify sales please?
Robert Thomson: Well, we're seeing sales across five states and range of districts from Seminole County in Florida to Spokane in Washington. The sale season for us, quite frankly will get more intense later in the fiscal year. And as the product is rolled out, you like us in these very public contracts will have a sense of how we’re fairing.
Michael Florin: Okay. Operator, we'll take our next question please.
Operator: Thank you. We'll go to Doug Arthur with Evercore.
Douglas Arthur – Evercore Partners Inc.: Yes, Bedi, you talked about the dual rent in London dissipating next quarter, what can you add in terms of sort of the underlying cost trends in news and information for the balance of the years?
Bedi Ajay Singh: I think, we've been pleased with these operating efficiencies we see in news and information services, particularly in Australia, where they have been taking out quite a bit of cost, and the sort of backroom operations. And I think, we would expect that sort of pace to sort of continue for the remainder of the year. The London building this quarter was double rental $14 million, I think, it will be similar for next quarter and then we're done. So that would obviously dissipate for quarters three and four, so there will be improvement just as a result of that.
Michael Florin: Okay. Operator, we'll take our next question please.
Operator: We'll go next to Alexia Quadrani with JP Morgan.
Alexia Quadrani – JP Morgan Chase & Co.: Thank you. My question is on your acquisition strategy, you’ve made two very different acquisitions recently, Harlequin and then Move, one publishing and one an online real estate. I guess, my – you did talk a little bit about what your priorities are in terms of when you look for these deals and able to leverage your global franchise when you bring them under your fold. But if you could give us any more color in terms of, are there certain segments of the markets that you are more focused on versus others, I guess, is there any other priorities you take into consideration?
Robert Thomson: Alexia, I think we made clear at the very first Investor Day that we were particularly interested in digital acquisitions. We would focus on the U.S. and global expansion and not so much Europe, a little more Asia, for example, but in particular, they have to be assets to complement our existing assets. They have to be extensions of our expertise, and we have to be able to use our existing platforms in a way to ensure that the new companies become platforms in profitability. And that’s very much the case with Harlequin, and it’s clearly the case with Move, where in each case, we have an existing skill set. We see, yes, synergies there, but we also see the potential for growth that is wheel, and it’s the potential for growth based upon experience and expertise in the company as it exist. So these are not eccentric purchases, these are extensions of that expertise.
Michael Florin: Okay. Operator, we'll take our next question please.
Operator: We'll go to Michael Morris with Guggenheim Securities.
Michael Morris – Guggenheim Securities, LLC: Thanks, guys. With respect to the price changes at The Wall Street Journal, I apologies if I didn’t hear this, but when did those price changes take place or when do they take place. And then also I know, you’ve been sensitive about the impact to subscriber numbers of changing price, what was the pattern that you saw at the times when you made a similar change there? Thanks.
Bedi Ajay Singh: So the new pricing as I said the full package is $32.99, that came into effect just now in October, and it’s the new customers. So that’s what we've done for the full package, the print and web and mobile is $28.99.
Michael Florin: Okay. Operator, we'll take our next question please.
Operator: From Goldman Sachs, we'll go to Adam Alexander.
Adam Alexander – Goldman Sachs Group Inc.: Good afternoon. Just touching on the Foxtel process, they were launched this week in Australia with a 50% cut on the base package, just wondering relatively, if you could give us a bit of a data on what sort of spin-down we might see, and whether or not that’ll have a top line impact on Foxtel revenue in the coming quarters?
Robert Thomson: Adam, it’s a little early for us to give you any forecast along those lines. I think, what we can say is that, process is being in operation for a week. Apart from offering discounts from new subscribers, what we are offering in our premium packages to existing subscribers and look out the early inquiring that we have is at the call center activity has been encouraging. But I think it’s better for us to wait till the next quarter to give you more fully formed some figures.
Michael Florin: Okay. Operator, we will take our next question, please.
Operator: We’ll go to Craig Huber with Huber Research Partners.
Craig Huber – Huber Research Partners, LLC: Yes, I am just curious, your Move acquisition Realtor.com, what you’re going to do on the management front there with REA? Are they going to – are you going to lean heavily on the REA management to run this thing or are you going to use people in-house of your existing company or are you going to keep the current management in place or how is that all going to work, please?
Robert Thomson: Look, clearly REA’s expertise will be a benefit to Move, but we’re not going to use that work expertise to an extent that it would damage REA itself and we are very, very conscious of that. I think, what you have to understand about Move is that, we’re extremely confident that we can accelerate growth in traffic and revenue without excessive investment, given the resources we have at our disposal and they’re not just REA resources, but when you think about at The Wall Street Journal Digital Network, where you’re getting a half-a-billion page views a month, complementing the large number of page views and traffic that you get at realtor.com. And so and when you look at what typical real state advertising website need, you need a media platform, we have that; you need compelling content, we have that; and you need a tech and software expertise, we have that. And we have those things without having to excessively invest.
Craig Huber – Huber Research Partners, LLC.: Thank you.
Michael Florin: Operator, we will take our next question, please.
Operator: (Operator Instructions) We’ll go to Andrew Levy with Macquarie Securities.
Andrew Levy – Macquarie Securities Ltd.: Thank you. My question was just on the FOX SPORTS, presumably Foxtel is going to get a pickup in subscribers from the price changes you put through. I’m just wondering if FOX SPORTS gets a full carry-through from any additional subscriber growth or whether the deal with Foxtel is being re-cut to accommodate the price changes that they have put through.
Bedi Ajay Singh: 
 :
Robert Thomson: Just to further it out, about – and look on past patterns, about 80% of Foxtel subscribers pick up the FOX SPORTS package, or…
Andrew Levy – Macquarie Securities Ltd.: And have you – sorry about that. I was just going to say, the view historically been the same for all Foxtel subscribers or just the sports package subscribers in the FOX SPORTS?
Michael Florin: Andrew, can you repeat that question?
Andrew Levy – Macquarie Securities Ltd.: Yes, the question was, historically, did FOX SPORTS receive a payment on total Foxtel subscribers or just on Foxtel subscribers who took the sports package?
Bedi Ajay Singh: People who took the sports package.
Andrew Levy – Macquarie Securities Ltd.: Okay, thank you.
Michael Florin: Operator, we will take our next question, please.
Operator: We’ll go to Justin Diddams with Citi.
Justin Diddams –: Morning, guys. Thanks for your time, a question for me is on using information services, given the trends you’re seeing in each of the businesses do you think it’s acceptable to expect that we can see revenue growth in the back-end of the year in each business?
Citigroup Inc.: Morning, guys. Thanks for your time, a question for me is on using information services, given the trends you’re seeing in each of the businesses do you think it’s acceptable to expect that we can see revenue growth in the back-end of the year in each business?
Robert Thomson: It’s probably not reasonable, Justin, to expect us to give you a forecast along those lines. What we can say is that the trends last quarter in particular in Australia, the advertising trends with the journal in October in recent weeks, these have been positive trends relative to last year. But we’re also very frank with you, it is difficult for us to see long-term trends at the moment given that the power of the spot market. And therefore in predictive terms spottiness of the statistics we have at our disposal. So what we do have been in London, in Australia and at Dow Jones, are teams who are working very, very hard to get the most out of their businesses. They’ve been very institutionally perspective on costs. They’re asking all the right existential expense questions and we’re very proud of the effort that those teams are making.
Michael Florin: Thanks, Justin. Operator, we’ll take our next question, please.
Operator: (Operator Instructions) We’ll go to Fraser McLeish with Credit Suisse.
Fraser McLeish – Credit Suisse Ltd.: Thanks. And I just like to follow-up on the question that Andrew asked on FOX SPORTS, can you just confirm has there been any change in the amount you get per FOX SPORTS subscriber as a result of the overall pricing changes or is that still the same as it was before? Thanks.
Bedi Ajay Singh: So we’re not disclosing specific pricing, but generally you can take it that, it’s along the same sort of lines that we had before.
Fraser McLeish – Credit Suisse Ltd.: All right, thank you.
Michael Florin: Thank you. Thanks, Fraser. Operator, we will take our next question.
Operator: Thank you. We’ll go to Brian Han with Morningstar.
Brian Han – Morningstar Australasia Pty Ltd.: Hi, thanks. As we think about the Move acquisition going forward and Robert, you’ve already mentioned the brand building potency of News Corp. itself. But, do you have any special marketing relationship with Fox Media properties or is that all on an arm’s length basis?
Robert Thomson: Clearly, we’ll be involved in negotiations with our friends at Fox, but we look – we’ve got News America Marketing and the free-standing insert business. We have the National Association of Realtors, which this year has invested around $30 million in marketing and we intend to strengthen our relationship to ensure that the complementarity of the marketing at our marketing. So combined the sum of those parts will be a very, very powerful platform, because we’re conscious quite obviously that marketing can be expensive. But when we calculated the benefits of buying Move, clearly we have a comparative advantage, when it comes to brand building and traffic driving.
Michael Florin: Operator, are there any additional questions?
Operator: This time there are no further questions in the queue. Mr. Florin, I’ll turn the call back to you.
Michael Florin: Great. Thank you very much for participating and we look forward to updating you on our progress next quarter. Have a good day.